Yuki Oshima: Investors, analysts, thank you very much for your attendance to Shiseido Company Limited 2025 Q2 earnings briefing. Today's disclaimer is shown on the screen. Today's session will be organized on audio only. Video and scripts will be posted on our website later. Today, the presenters will be Kentaro Fujiwara, our President and CEO; and Ayako Hirofuji, CFO. Myself, IR Department, Oshima, very pleased to meet you today's MC. There will be a presentation from Hirofuji and Fujiwara, and then there will be a Q&A session. Presentation will end around 5:45 PM. Now I hand over to you, Hiroji-san.
Ayako Hirofuji: Thank you very much. I will now explain our 2025 half year results.Please take a look at page three, the H1 results, and full-year outlook. Our current top priority is to steadily implement our action plan and build a business structure that generates stable profit. There are three key highlights I would like to explain. First is the result of our structural reform continued from Q1 in Japan, in China and Travel Retail, the fixed cost reduction effort we have been working on since last year is clearly reflected in the H1 figure, improving profitability and maintaining profit margins despite the declining net sales. As there was a few media coverage in Americas, under the new leadership structure, we accelerated personnel and organizational rationalization in July. As a result, we will accumulate the benefits of our annual structural reform across the Company. The second is the strengthening financial discipline. Given the challenging market environment, we conducted further cost review across the Company. Despite the decline in net sales, our company core operating profit for H1 exceeded our plan. In addition to our cost reductions in P&L, we also focus on the cash balance sheet, reviewed capital investment and steadily implemented our asset-light strategy, including relocating and reducing offices to improve ROIC. Third, regarding our full-year outlook. While we anticipate certain risks to net sales, our commitment to achieving core operating profit of JPY36.5 billion remains unchanged, and we will achieve this through accelerating structural reforms and cost management. Since our disclosure in May, we have received many questions from investors regarding impairment risks. Given the declining profitability of our Americas business, we determined there are the indications of impairment and conduct the impairment test. As a result, we did not record any impairment loss for this quarter. However, given the underperformance of Drunk Elephant to date and uncertainty, including interest rate outlook, we recognize that the risk of impairment losses on our Americas business is greater than ever. For details, please refer to page 17 of Tanshin report.Now, page four, the executive summary. Net sales for H1 were JPY469.8 billion, with the underlying growth rate of minus 6%, primarily due to a weakened -- weakness in China Travel and Retail and Drunk Elephant. Compared to the plan, the result was slightly below our initial forecast of a low single- digit decline due to poor performance of Drunk Elephant and others. Core operating profit was JPY23.4 billion, an increase of JPY4.1 billion YoY, exceeding our expectations. We are pleased to report that we have already achieved over 60% of our full-year guidance of JPY36.5 billion. We view this as evidence that our structural reforms and strengthening the financial disciplines are beginning to bear fruit, but we are by no means optimistic as the upside in H1 includes expenses carried over to H2 and uncertainty and risk factor remains. Non-recurring items totaled JPY5.3 billion of the JPY23 billion in full-year 2025 plan, we recorded JPY3 billion in expenses related to structural reforms in Americas in Q2. As a result, interim profit was JPY5.5 billion. While this has already exceeded our JPY6 billion net profit forecast for 2025 announced in February, we have not revised our earnings forecast as the majority of nonrecurring items are expected to occur in H2. Free cash flow was JPY17.5 billion, turning positive from a negative figure in Q1 due to factors such as higher profit before tax and others.Next, page five, core operating profit. First, the cost of goods sold ratio improved 1.5 percentage points from last year to 22.6%, driven by better mix of brands and SKUs. Marketing investment decreased JPY2.7 billion from last year. Meanwhile, its share of net sales increased 1.7 points to 28.8%. This was primarily due to increased marketing investments associated with new product launches in EMEA. Personnel expenses decreased JPY15 billion from last year, improving its share of net sales by 1.2 points. This primarily reflects the results of restructuring efforts in Japan, China and Travel Retail. The effects of personnel reductions in the Americas are expected to be realized from Q3 onwards. Other SG&A decreased by JPY5.9 billion, driven by a decrease in depreciation expenses and rigorous cost management, and others.Next, page six shows net sales by region. The sales decline steadily narrowed from minus 9% in Q1 to minus 3%. While this did not meet our main focus of flat sales growth in Q2, all regions are on recovery trend. We are expanding our market share in areas such as fragrances in Japan, Asia Pacific, and Europe.Next, page seven shows the sales trend by brand. QoQ performances vary from brand to brand. We will carefully evaluate each brand from a strategic perspective to strengthen and expand our core brands and challenges will be properly identified and addressed. A positive sign across all brands is that the growth accelerated or revenue declines narrowed from Q1 to Q2, indicating a steady improvement. Clé de Peau Beauté, NARS, and ELIXIR are performing well and driving growth across the Company. Fragrance is capitalizing on market strength, improving in Q2 and accelerating growth in H2. ANESSA revenues declined primarily due to Travel Retail and inbound tourism to Japan, but this was in line with our strategy and generally anticipated in the plan. Drunk Elephant and brand Shiseido in China and Travel Retail are seeing a narrowing of their declines, but still in the process of recovering. Therefore, we will closely monitor their future improvements.Now, page eight talks about the by region. The figures on the upper left table and the text for H1 net sales and core operating profit show six-month basis, while Q2 market and Q2 customer purchases show the most recent three-month figures to indicate changes in momentum. Japan achieved a significant increase in profit despite the decrease in revenue, demonstrating continued progress in structural profitability improvements. On the other hand, what stands out as the trend is a slowdown in the inbound demand. Local market in Q2 continued modest growth. Consumer purchases grew low single-digit percent. Core brands drove growth, and share expansion is continuing. SHISEIDO's new ULTIMUNE is continuing to drive momentum. E-commerce sales are maintaining growth at high-teen percent with loyal user purchases driving growth on our online website. On the other hand, the inbound market growing with an increase in number of visitors to Japan began to slow down in May, particularly in the department store channel, and inbound consumer purchases turned negative in Q2. We analyzed that incentives to purchase in Japan declined because of factors such as the narrowing price gap between Japan and overseas markets caused by the strong yen, extension of the 618 shopping season, and intensified low-price competition in China. Despite the sales decline, core operating profit increased JPY13.2 billion, thanks to structural reforms, such as reduction in personnel expenses due to early retirement and improved efficiency of marketing investments. H1 margin was 13.3% and Q1 was higher at 15% due to rush demand before the price hike. We believe low teen percent level is our normalized level, averaging out such one-off factors.Slide nine is China and Travel Retail. It was slightly ahead of sales target. If we focus on Q2 only, growth turned positive YoY in China. China's prestige market growth rate accelerated from Q1 to Q2, and market share expanded in Q2. In addition, 618 e-commerce sales saw fierce price competition among platformers, and price-driven purchasing behavior remained strong. But even excluding the impact of the extended sales period, sales increased marginally YoY; we outperformed the market, driven by high prestige brands. Offline market faced ongoing challenges. Clé de Peau Beauté and NARS maintained strong momentum overall, including offline channels. With online consumption becoming the NARS, Clé de Peau Beauté is promoting customer visits by creating reasons to visit, such as opening a new spa on the upper floors of major department stores and providing the best customer experience possible. We believe that investing in experiences to build equity as a luxury brand is helping us stand out from the competition. Although Shiseido grew markedly in 618, it continued to suffer in offline channels. Travel Retail continued to face challenges in the Asian market, and the Japanese market also slowed down, and consumer purchases fell to the negative low 20% level. Despite sales decline and worsening business mix, we maintained high profitability with core operating profit of JPY38.8 billion, profit margin of 22.1% via structural reform such as fixed cost reduction and cost management.Slide 10 is about Americas. Americas market maintained YoY growth, but fell short of expectations in Q2. Consumer purchases were negative high single percent, and Drunk Elephant struggled with results far below our initial expectation. Core operating profit dropped JPY3.3 billion due to sales decline. SHISEIDO benefited from new product launches with new ULTIMUNE and mineral sun care sunscreens already launched in Japan, fueling growth. We are accelerating structural reforms actions for a swift turnaround of Americas. CEO, Fujiwara, will give further details about this, along with our recognition of challenges of Drunk Elephant.Slide 11 is on Asia Pacific and EMEA. In Asia Pacific, market contraction is continuing, notably in Taiwan and South Korea, and sales declined, but overall market share expanded mainly in main markets. Core operating profit decreased by JPY1 billion due to sales decline and others. Next is EMEA. Q2 market maintained moderate growth, but the pace of growth decelerated. Q2 consumer purchases turned positive after negative growth in Q1. Drunk Elephant continued to struggle, but fragrances remained buoyant with Zadig&Voltaire, fueling high growth at low 20%, outperforming the market by far, expanding its share. Core operating profit declined JPY4.6 billion on increased marketing investments and lower gross profit. Both Asia Pacific and EMEA are expected to secure profits on a full-year basis. Acceleration of sales and profitability improvements are expected in H2.Slide 12 is on 2025 core operating profit forecast. We are expecting some downside risks to achieving sales target, but we will continue with management efforts to achieve 2025 core operating profit forecast of JPY36.5 billion. From next slide onwards, I will explain the major assumptions and initiatives.Slide 13 shows downside risks and opportunities. In Japan, sluggish inbound sales in Asia Pacific, Americas and EMEA, market deceleration, and continuing lackluster performance of Drunk Elephant are considered major risk factors. On the other hand, China and Travel Retail are trending better than expected as of now, which we see as an opportunity, especially in China, although H2 of last year was a low hurdle, actual shipment on a preliminary basis in July performed well with double-digit growth. We will continue to maximize opportunities.Slide 14 on tariff impact. As a result of reviewing assumptions reflecting changes in the situation, tariff impact for 2025 full-year is expected to shrink to around JPY3 billion as of now, compared to the JPY7 billion a year at maximum, which we announced the last time. We will aim to minimize the impact by executing mitigation actions as described.Slide 15 is on progress on global cost structure transformation. In H1 of 2025, we realized JPY13.5 billion cost reduction benefits on track with the plan. On a full-year basis, we will accelerate structural reforms in Americas ahead of schedule, as a result, accelerating personnel expenses reduction and therefore, raised cost reduction target from JPY20 billion to JPY25 billion. Furthermore, we will increase two-year reduction targets for 2025 and 2026 from JPY45 billion to JPY50 billion to improve profitability. This concludes my presentation. Company Representative Then I would like to talk about the action plan 2025 to 2026. I will cover the important topics of that in page 17, the further future initiatives for key brands. For key brands, we are working to strengthen the brand equity, not only to generate sales, but also to ensure long-term sustainable growth. At the launch of the brand's HIRA product, ULTIMUNE 4.0 brand SIO engaged a global campaign aggressively across all regions, making investment at an unprecedented level to acquire new customers. The campaign keywords freedom from age and slow aging, helped to deepen customers' understanding of the products' benefits and create new markets globally. In Japan, ULTIMUNE sales nearly doubled and the brand as a whole achieved double-digit growth, maintaining its momentum in H2. Additionally, the new Shiseido Men ULTIMUNE, which incorporates the full breadth of 100 years of research into men's skin, was launched on July 21 with new promotions aiming to accelerate growth in H2. Clé de Peau Beauté launched a renewed version of its key Radiance care lotion, emulsion, and cream in Japan on July 21. Initial sales have been extremely strong, setting a stage for subsequent global launches. Additionally, on July 25, Nicole Kidman became the new global brand ambassador. Through this, we aim to further strengthen our positioning as a luxury beauty brand, accelerating growth in Europe and the US, and expand our scale globally. For NARS, in Q3, we will relaunch the brands iconic multiple line and create buzz through limited editions and new colors tailored to each region. In addition, we will continue to strengthen our loyal customer base and accelerate sales through a lineup technologically and technologically advanced and topical products, including brands and items that are too numerous to introduce here.Now page 18. Drunk Elephant continued to suffer from a challenging situation with falling the Q2 results far short of expectations. In light of this, headquarters and local offices work together to conduct a fair and transparent brand review and identified new issues to achieve a turnaround. There are three major challenges. First, the brand lacked targeting based on a clear understanding of customers. Two years ago, we achieved significant sales growth, thanks to social media buzz around our hero product. Since then, however, the brand's positioning has become unclear, and our customer base has weakened as our original target customers have drifted away from the brand. Regarding brand value, our once innovative, clean formula has now become commonplace in the US market. Our current communications do not adequately highlight the uniqueness and value proposition of our brand over competitors, making it insufficient to attract new customers. Furthermore, our products lack groundbreaking innovation, causing us to lose market presence and competitive advantage. Therefore, we have postponed the strengthening of our clinical and high-performance skin care communications and review of our sales floor layout, which we explained last time. And this year, we will first clean up our market inventory, reduce certain uneven inventory, build in-store engagement, and redefine our value creation foundation. This will lead to successful brand reset campaign from next year onwards.Now next page 19, we will discuss the efforts to achieve profitability in Americas business by 2026. As previously announced, under the new management structure with Alberto as CEO, our Americas business has swiftly implemented a turnaround plan, completed key restructuring actions, and is now moving to phase continuous investment. By streamlining and simplifying our organization, we have departed from silos and clarified accountability between functions. This will enable us to streamline our operations and optimally reallocate our resources even with a limited workforce, improving the flexibility and agility of the entire organization. As a result, we believe that we will have created an environment for even stronger innovation, enabling us to achieve sustainable growth and strengthen competitiveness. Cost reduction benefits of this structural reform are expected to be approximately JPY15 billion per annum from mainly Q3 to Q2 of next year. We expect the half of the impact to be JPY7.5 billion this year and the remaining half JPY7.5 billion in next fiscal year. As for the breakdown, JPY7.5 billion, which is half of the impact will be from workforce reduction, and the remainder will be expense reductions such as downsizing office spaces and optimizing procurement. For office space downsizing, we are planning to post structural reform costs north of JPY4 billion in Q3. Americas loss exceeded JPY10 billion in 2024, but we are steadily making progress to returning to profitability in 2026.Next, please move on to slide 20. In H2 of this year, we were planning to implement FOCUS ERP in Japan and global headquarters, and we have been able to go live in July, and global implementation was completed. With this, standardization and integration of system data was completed globally, and we achieved 80% standardization within FOCUS system globally. By launching Global One IT team, we will integrate IT environments that tend to be fragmented by region and enable quick and flexible responses to global business needs. With this, we will increase agility and promote employees' productivity improvements. From here on, we will be transitioning to value realization phase on a full-fledged basis. Real-time visibility into accounting and supply chain data enables rapid global response to issues and opportunities, leading to faster and more accurate decision-making. It also contributes to improving inventory turnover and reducing inventory imbalances by maintaining appropriate inventory levels, thereby contributing to improved ROIC. As we will be able to capture each region's situation using common metrics, it will make it easier for us to share best practices. At this moment, the system has not been applicable to some of the regions, but we aim to maximize return on investments with headquarter support.Slide 21 is Action Plan 2025 to 2026 assessments and future direction. So far, we have been communicating that we need to complete all actions within this year in order to deliver full benefits in 2026. We have been focusing on speed. As of today, we believe the progress is on track. There are some measures that have not been announced, but we plan to thoroughly implement them during the remainder of this year. As has been mentioned until today, completion of the action plan is merely a starting point. As a strong winning player in the global competitive environment that continues to generate solid returns, we must continue to evolve further. It is not enough to just take action based on the plan. There are more challenges that we need to tackle and more room for us to evolve. In order to bridge the gap between the ideal state and the current, we are currently working on a medium-term management plan, which we plan to announce by the end of this year. The themes will be achieve sustainable profitable growth, optimize cost structure, and reinvest for the next growth strategies. By clarifying the issues that need to be addressed, we aim to accelerate action and achieve profitability that exceeds capital cost at an early stage. This concludes my presentation.
Yuki Oshima: Now I would like to open the floor for questions. Now I would like to ask Kuwahara-san from JPMorgan.
Akiko Kuwahara: This is Kuwahara. Can you hear me? I am Kuwahara from JPMorgan.
Yuki Oshima: I can hear you.
Akiko Kuwahara: H1 and H2, there were some changes. I would like to double-check the numbers. H1, the core operating profit was better than the original expectations. What was the increase? What was the phasing out of the cost? And then the rest, how much was the contribution from your efforts? And my second question is that for the full-year, it's shown on page 12, but the cost management against risks, you have to take many rigorous measures. Otherwise, you are not able to achieve this figure on page 12. But the cost management is the one that you were explaining at the beginning of the year. For example, last year, from Q3, like an emergency plan that you suggested some bonuses and so forth. Is that the right understanding that like a similar way of the cost management? Or, in that case, whether the impact will also be reflecting in PI 2026? Company Representative Well, thank you for your question. Your first question is that JPY36.5 billion for the first -- against the full-year. And then originally, achievement for H1 was 40%. Therefore, from that perspective, this was the uplift of JPY8 billion or so basis. Well, the market conditions are very uncertain, but still, we've begun and then try to make the cost management rigorously. And also, we made a thorough review and then we made some assessment on the expenses and some phase out of the cost, the size of that is JPY5 billion or so. That was some phase out from H1 to H2 in terms of the cost implementation. My point is that the marketing investment for the future growth, we continue to invest. And so that investment will be fully utilized and also affecting for the future growth. And then, for the JPY13 billion of the core operating profit is expected in H2. So, against the sales plan, and the full-year outlook is in line with the last year. The net sales plan is a little short of JPY30 billion, of which that will be realized JPY20 billion or so in H2. And there are some interest gap and also continued cost reduction effort, and we maintain our outlook for the full-year guidance. In terms of the cost control, we had the GTC-led additional measures like JPY5 billion that was added. That is one of the reasons to absorb this figure. In terms of the full-year guidance, you raised questions about H2. Actually, last year, we introduced the reduction on the bonuses and so forth in Q3 last year, that has to be offsetting this year.
Akiko Kuwahara: Understood. Thank you. In that sense, for this fiscal year, cost reduction is mainly led by GTC, and the payroll is returned in this fiscal year that will be returned as you expected at the beginning of the year. Is that correct? Company Representative Yes, you're right. In terms of Q3, the payroll ratio was also returned compared to the last year's payroll adjustment. Negative impact in Q2 or Q3 onwards in terms of the payroll.
Yuki Oshima: Next, Morgan Stanley, MUFG Securities. Sato-san, please.
Wakako Sato: This is Sato from Morgan Stanley. Can you hear me?
Yuki Oshima: Yes, we can hear you.
Wakako Sato: This is a continuation from Kawara-san's question. Based on your explanation, in Q2 sales, you have already incorporated JPY25 billion of downside. Company Representative Yes, that's right.
Wakako Sato: And if that's the case, then roughly 5% or so is the number. The original plan was plus 10% in H2, but then it changed to plus 5%. Is that right? Company Representative Yes, that's right.
Wakako Sato: Especially where, so I understand China is recovering, but which region where specifically are you worried about now? And Japan, inbound is changing, and domestic demand is expected to be high, originally based on your original plan. But where are the risks of sales specifically? Can you tell me specifically? I believe it may be Americas and Japan, but could you share? Company Representative Okay. Understood. It might be a repetition. Full-year sales, it was around 4% growth YoY. That was the original assumption. But now we believe that there is a risk that it will remain flattish. And the major reasons would be, first, Japan inbound sales from the end of H1, we are seeing a downward performance compared to our expectation. So we were expecting mid-10% growth in the beginning of the year, but have changed that to slight decrease or flattish. There is such a possibility. And the second reason, as you mentioned, in Americas, Drunk Elephant recovery compared to the original assumption expectation, we believe that there will be a delay in recovery, and the performance will remain sluggish. But there are upside factors as well, China and Travel Retail in H2. So of course, there's a low base in last year, but low hurdle. And there is an opportunity of sales increase, and we will make efforts to maximize that. We would like to implement various measures to realize this, especially for H2. As Mr. Fujiwara explained earlier, for brand, we have plans of introduction of new major products. And we'd like to make use of these launch opportunities at maximum.
Wakako Sato: JPY5 billion, so this cost that was postponed, so where is this, which region is it? Which area? Company Representative It's dispersed, to be honest, naturally. Depending on the region's mix, Japan, China, Travel Retail, it was postponed from these shifting cost from these areas. It's like Japan and China Travel Retail.
Wakako Sato: So not Japan, but China and Travel Retail has high-cost shift. Company Representative Yes, in terms of the two regions, these two regions, China and Travel Retail are higher.
Yuki Oshima: Next is Miyazaki-san of Goldman Sachs.
Takashi Miyazaki: Miyazaki from Goldman Sachs. I couldn't hear well for the answer to the first question. So let me confirm. In terms of the profit, core operating profit, what was the uplift from the beginning of the year? 40% of the full-year was your original expectation, but compared to this 40% expectations in H1 actual performance the gap was the uplift. Is that correct? In this fiscal year, there was a structural reform of the Americas region. It's now realizing and contributing JPY5 billion uplift. And then so JPY25 billion of the cost management. So do you have any good feel on the achievement, and JPY50 billion was on? So what was the reason behind for that? Why there was an uplift? Company Representative Well, apology for unclear answer. But JPY6.5 billion for the full-year, JPY15 billion or so, and then of which JPY8 billion was roughly uplift this H1. That's the result, of which, of course, we are taking on the cost restructuring efforts, and also some new measures are in place. So there is some uncertainty in H2. I will try to alleviate such risks through such initiatives. And in terms of the global transformation, JPY5 billion is now added and mainly coming from the Americas region. Compared to the original timing, so Americas restructuring effort has now advanced. So that JPY5 billion is mainly driven from the Americas region, as you say. The size of the Americas regions, the cost structure reform was bigger, quicker, and deeper. That was the result of the additional JPY5 billion impact and also the JPY50 billion, JPY45 billion original expectation, but now uplifted to JPY50 billion and so forth. And then that cost reduction effort will also contribute.
Takashi Miyazaki: So let me double-check. JPY8 billion of H1 uplift, of which JPY5 billion was the cost phasing, right? So it has to be recognized as the cost in H2, right? Company Representative Well, yes, we face that cost into H2. However, so we are now taking some risks in H2. So marginal profit and so forth. Therefore, we would like to continue to monitor the expenses in H2 as well. Ms. Fujiwara, 2024 and 2025 added was JPY40 billion [to] JPY45 billion to JPY50 billion. There is an increase. But this is two years of 2025 and 2026. So I just wanted to make a correction. And the next question is CLSA Oliver, please.
Oliver James Gray Matthew: Could I ask a first question? I know you're still working on the midterm plan, but with the good progress you're making, are we correct to assume that you're still targeting double digit? Your Chair recently suggested you should be targeting more than 10% operating profit margin. Company Representative Yes. Thank you very much for your questions. Yes, so we want to be the winner of the global company. So therefore, the double-digit OP margin is the target for us.
Oliver James Gray Matthew: Great. I think you will get there. Second, a bit of a technical question. On the page 23, you show adjustments. I think these are same as headquarter costs, but they declined a lot from last year, like by [THB8 billion]. Could you explain what the difference is? Company Representative Thank you for raising this point. This is indeed the adjustment piece would be incorporating the HQ costs. However, there are some technicalities with respect to foreign exchange rates differences. So allow my IR team to be following up separately with you to clarify what exactly is captured in the adjustments, as well as the others actually.
Oliver James Gray Matthew: Okay. But we should assume they continue a kind of positive downward trend. Is that right? Company Representative Yes. Indeed, headquarter cost has been reduced since in this quarter as well through cost reduction measures that we have been implementing, and that is indeed captured in this adjustment section. But in addition to that, there are other foreign exchange savings that is captured here as well. It is not necessarily entirely from headquarter cost reductions. So I just wanted to clarify that point.
Yuki Oshima: On to Hirozumi-san from Daiwa Securities.
Katsuro Hirozumi: Can you hear me? My name is Hirozumi of Daiwa Securities. I have very brief two questions. In terms of the net sales for H1, was the uplift and you explained earlier -- sorry, core operating profit, but I just want to ask the question about the net sales. What was the result of the net sales in H1? In your earlier explanation, I may misunderstand that H2 you anticipate that net sales in H2 because there is no change in the full-year guidance. So what was the achievement in H1? And then how should I interpret H2 target for the net sales? Company Representative Well, we do not incorporate or embed all the sales to be achieved, but there are certain risks. And of course, but the full-year guidance that roughly 4% growth was anticipated. But at the moment, we see that it is in line with the last year's result. And then H1 performance was JPY5 billion or so, and then JPY25 billion in H2 would be achieved. So there are a certain risks of the declining in the net sales. Okay.
Katsuro Hirozumi: There's a risk, but still there's an opportunity. That is why our full-year guidance has not been changed. Is that correct? Company Representative You're right. Based on certain risks, we, of course, would like to manage properly to cost management measures and need to have a good conservative view on the sales achievement.
Katsuro Hirozumi: On page 13, so net sales plan has not been changed, but there is a risk. You are making some heads up, right, for H2 achievement. Is that correct? Company Representative Yes.
Katsuro Hirozumi: Now, the Americas region, I just want to understand the net sales achievement. On page six, you have the quarter-by-quarter, Americas has a positive 4%, right, plus 4%. And then this is the sell-in, I believe. But the customer purchase in Q2 was the single digit or high single digit, right? What is the gap between the two? Company Representative The customer purchase and the sell-out and sell-in, you're right, there are certain differences in sell-out and sell-in. And especially for Q2 of Americas region, there are the [SHISEIDO] mineral sun care products to be launched in Q3. That new product launch is coming. So we are very much expected for the good sales, but this was the upfront shipment was recognized. That is the positive figure. The actual sales for the customer sell-out will be realized in Q3 onwards.
Katsuro Hirozumi: Understood. Then page 10, the high single-digit figure. How would you evaluate that? Company Representative Yes, page 10 for Americas. High single digit that you are expecting, right, for the sellout. Yes, in terms of the customer purchase, we see the positive trend for the customer purchases. One reason under the current momentum on the retail sales and e-commerce that we are running and those two will contribute for H2 growth.
Katsuro Hirozumi: So Americas region is very uncertain at the moment for the economic growth. And what is your perspective of the customer behavior in Q3 onwards? Company Representative Well, I believe there is not really big impact on the economic conditions, but beauty trends, Q1 to Q2, there were some improvement in the customer purchase behavior. So of course, there are certain external factors, but the beauty market is like, to some extent, stabilized. The situation for the customer purchases in Q3 onwards is also in favorable, correct.
Yuki Oshima: Next, Mizuho Securities. Miyasako-san, please.
Mitsuko Miyasako: This is Miyasako from Mizuho Securities. There is an upside you mentioned, China and Travel Retail. This is my question. In H1, until H1, how much upside in sales and also profit? And is it the market that was good? Or is it that your market share is increasing? And also, how do you view the market in H2? Company Representative China and Travel Retail, compared to our expectation, it's not that there was a major uplift. There is a challenging market situation. It's the same for us as well. But [inaudible] the key brands performed very strongly despite the challenging market, and we have been steadily increasing our market share, and this is something that's very positive for us. We would like to continue this momentum in H2 as well. We have major events upcoming in H2, and we would like to maximize the impact. From H2 onwards, especially in Q3 last year, China and Travel Retail was more than 20% negative. So it's a very big dip, and it's starting from a low base. Compared to that, we believe that we can surely increase.
Mitsuko Miyasako: In Q1, Travel Retail was better than your expectation. For Q2, Travel Retail and China both was slightly better than your expectation? Company Representative Yes, exactly. The market had recovered slightly. And also in Q2, we have been able to expand our market share. So we have been able to grow steadily in Travel Retail, the future is intransparent still. For that part, we are looking conservatively because of that. But when the market recovers, this will be a positive factor for us. As for China, as Hirofuji-san mentioned earlier, customer trends consumer trends are recovering slightly, little by little. At the same time, for Double 11 this time, we are forecasting slightly pessimistically.
Mitsuko Miyasako: But looking at H1 situation, 618, we were able to mark strong sales. There might be some upside for Double 11 also. And China and Travel Retail, so last year, you forecasted slight decline. Does this view change? Have you changed? Or is China and Travel Retail trying to change over mid- to long-term? Company Representative China and Travel Retail, it's not that we intentionally suspend sales, although we can sell, it's not that we are going to force ourselves to reduce share products. Because it's a big market, we would like to capture market share, but we don't want to have set excessive expectations and set budget. We don't want low-quality growth. We are not going to chase after short-term growth. Rather, we would like to grow over long-term in high quality to be able to control China and travel retail market.
Mitsuko Miyasako: And last of all, you mentioned you have increased your market share. Is it in the key brands? Or is it that your share is growing in China overall? Company Representative Looking at Q2 only, our market share fell in Q1. So in Q2, prestige beauty market, we have been able to confirm our growth in market share. So that means share of brand Shiseido has increased also. Brand Shiseido was slow, and that was offset by the strong performance of NARS and Clé de Peau Beauté. Brand Shisedo, there is no change. This is something that you can expect in the future. To break down e-commerce, we have been able to capture share, but offline channel, there are stores that are selling well, some are not selling well. There is a clear difference, and that's challenging. Overall, brand Shiseido has seen share drop. But online, we have increased share.
Yuki Oshima: Oto-san from Jefferies. Kawamoto from Jefferies.
Hisae Kawamoto: Page 19, so the actual probability of the page 19. A steady progress toward returning to profitability for Americas. What is the number of people to reduce the human resource, or how many office reduction are you expecting? And the other risks in the middle of the chart, what are the other risks? How much I should be aware of? In terms of the marginal profit, it looks like a contribution of the margin is quite large. I just want to understand how accurate this chart is. Company Representative In terms of the conviction and the probability of this chart, I believe this is quite trustworthy. We have already implemented the structural reform in the US. Based on that, we now show our plan in terms of the office cost reduction; the cost base is already implemented. As was explained by the CEO presentation, as a result of such cost reduction, JPY4 billion or so of the temporarily the cost reduction is implemented, and then roughly 300 or so human resource was reduced. So in terms of the probability of achieving this focus is quite solid. Other risks include Drunk Elephant, the declining sales, as well as the for the margin coming from the contribution coming from the Drunk Elephant, and also other risks as well. Those potential risks will be offsetting by the other cost reduction measures. That is what we are doing at the moment.
Yuki Oshima: Are there any questions? Kuwahara-san, please.
Akiko Kuwahara: My name is Kuwahara from JPMorgan. I would like to ask for supplemental information explanation. Americas impairment test, you have done the test. This time, you are not going to post impairment. But I believe that this possibility is increasing. So you will continue to make improvements and efforts, but the risk is increasing. What does it mean? It's a simple question. Drunk Elephant, is it the delay with Drunk Elephant, or are you thinking about the market environment? Can you explain about this? Company Representative There is risk of impairment loss, and this is the slowdown of sales recovery coming from Drunk Elephant and discount rate. Interest rate increase, discount rate might increase, and also the impact of the tariff. Based on that, we are renewing the future cash flow, and we are evaluating cautiously the possibility of impairment loss. By brand, we are not doing impairment loss. It's done by region. The overall cash flow and we compare that to the carrying amount. This year, we thought that the risk had been increasing. Therefore, on a quarterly basis, we have been doing the test. In Q2, the slowdown of sales in Drunk Elephant and others because of such factors, we have disclosed this.
Akiko Kuwahara: So the progress, you mentioned about the progress. You are looking at the track record. And you have mentioned earlier about sales, there's downside risk, but you did not apply that as a part of the test. As of now, the risk has been incorporated. Company Representative Including that, it was safe. So yes, we have put some assumptions, and we have done the impairment test. And in Q3, we will look at the progress of the time, and profit sales forecast will be incorporated to do the impairment test. That is what we are assuming.
Yuki Oshima: This will be the last question, SMBC Yamanaka-san floor is yours.
Shima Yamanaka: This is Yamanaka from SMBC Nikko. So, for the next year’s action plan and the core profit, how you are evaluating the uplift or double risks? Company Representative Because originally, November last year, 20 compared to 2024, the net sales and core OP margin, growth rate would be very hard, and JPY7 billion or so will be uplifting. That is our expectation. However, for the net sales, there is the downward risk. But still, the cost reduction effort is now better than expected. But still, in case the net sales in H2 would be difficult, then the JPY70 billion in H2 may be rather difficult, or Travel Retail is gradually picking up in Q2, then it could be quite a good mix of the sales, even the sales are slightly sluggish, but still JPY70 billion is achievable. Is that what you're thinking, which is the correct to understand your feeling? Well, to be honest, 2026 guidance will be disclosed at the right timing. But we have risks of the net sales reduction, and also the cost reduction is having a good progress. And so the 7% growth potential or the target this is unchanged. Let me add. In terms of net sales, there are some ups and downs. For that, we are evaluating the risks properly, and then we need to solidify our top-line growth. With that stable net sales target, we would like to achieve this 7% the initiatives. This is the intention of the cost restructuring measures. Even though there are some difficulties in H2, we would like to achieve this 7% the profit.
Shima Yamanaka: Then the OP margin, 7%, you are making sure to achieve that. But in terms of the amount, you'll be disclosing the full-year report. Is that correct? Company Representative Yes, you're right.
Shima Yamanaka: Understood. Thank you so much.
Yuki Oshima: Now we would like to close the Q&A session now and we also would like to end today's earnings briefing call. Now, after this session, there will be some questionnaire to be popped up. Please make sure to fill in. Thank you very much for your attendance today despite your busy schedule. [END]